Operator: Good afternoon. My name is Cole, and I will be your conference operator today. At this time, I would like to welcome everyone to the Toast Earnings Conference Call. [Operator Instructions]. I'll now turn the call over to Michael Senno, Senior Vice President of Finance and Strategy, Treasury and Investor Relations. You may begin your conference.
Michael Senno: Thank you, Cole. Welcome to Toast earnings conference call for the second quarter ended June 30, 2023. On today's call are CEO, Chris Comparato; COO, Aman Narang; and CFO, Elena Gomez, will open with prepared remarks which will be followed by our Q&A session.  Before we start, I'd like to draw your attention to the Safe Harbor Statement included in today's press release. During this call, we'll make statements related to our business that may be considered forward-looking within the meaning of the Securities and the Exchange Act. All statements, other than statements of historical facts, are forward-looking statements, including those regarding management's expectations of future financial and operational performance and operational expenditures, location growth, future profit and margin outlook, expected growth and business outlook, including our financial guidance for the third quarter and full year 2023. Forward-looking statements reflect our views only as of today, and except as required by law, we undertake no obligation to update or revise these forward-looking statements. Please refer to the cautionary language in today's press release and our SEC filings for a discussion of the risks and uncertainty that could cause actual results to differ materially from our expectations. During this call, we will discuss certain non-GAAP financial measures. These non-GAAP measures are not intended to be a substitute for our GAAP results. Please refer to our earnings release and SEC filings for detailed reconciliations of these non-GAAP measures to the most comparable GAAP measures. Unless otherwise stated, all references on this call to cost of revenue, gross profit and gross margin, sales and marketing expense, research and development expense, and general and administrative expense are on a non-GAAP basis. Finally, both the press releases and a replay of this call, including the accompanying investor presentation, will be available on our Investor Relations website at investors.toasttab.com. With that, let me turn the call over to Chris.
Chris Comparato: Thank you, Michael, and thank you everyone for joining us this afternoon. We sustained our operating momentum in Q2, posting strong results across the board, further evidence of Toast's unique positioning to help lead the digital transformation of the restaurant industry and empower the restaurant community to do what they love and thrive.  We achieved notable milestones this quarter, surpassing $1 billion in ARR and posting positive adjusted EBITDA and free cash flow for the first time as a public company, which speaks to the consistent execution of our strategy.  First we're focused on driving location growth and in Q2 we set a record for quarterly net new location additions with over 7,500 and ended the quarter with approximately 93,000 locations.  Second, we're working to serve all segments of the restaurant industry. In June we announced a deal naming Toast as an approved vendor for Marriott Select Service Hotels, a clear proof point that we can push deeper into the restaurant TAM and unlock the restaurant space or the enterprise space.  And lastly, we are focused on continued product innovation to open up more segments of the TAM and better serve our customers. The Toast for Hotel Restaurants offering and newer offerings like Toast Tables and the recently announced Catering & Events product are all examples of the product advancements we're making.  These efforts are translating into strong results. In the second quarter, on a year-over-year basis, total revenue increased 45% to $978 million and GPV was up 38% to $32.1 billion. ARR finished up $1.1 billion, up 45% from last year and more than double from two years ago, evidence of our ability to scale the business through both increased penetration across the TAM and healthy ARPU growth.  Coupled with our strong top line and operational performance, we delivered adjusted EBITDA of positive $15 million in Q2 compared to a $33 million loss in the prior year, reflecting an over 600 basis point improvement in adjusted EBITDA margin. The combination of durable top line growth and consistent margin improvement, is the result of our dedication to balancing investments in key growth areas with efficiency and cost discipline as we scale the business.  On the back of our healthy first half results and operating momentum, we raised full year revenue guidance to 41% year-over-year growth at the midpoint and increased our adjusted EBITDA guide to a range of $15 million to $35 million. We remain focused on driving efficient, durable growth and expect continued margin expansion as we march towards the long-term target margins that we previously shared with you.  A core tenant of our product strategy is to position our platform to expand deeper into the TAM. Toast for Hotel Restaurants and our expanding enterprise capabilities were key in unlocking the Marriott opportunity. The deal we announced enables our team to sell the Toast platform to Marriott Select Service Hotels in the U.S. and Canada.  There's a range of food and beverage service models across Marriott Select Service properties, from full-service dining to quick service, to poolside ordering. The flexibility of our platform to meet the unique needs of different restaurant sizes and formats in the select service level was another important differentiator for Marriott.  While it's still early, we've taken a small number of Marriott locations live already and we look forward to bringing the power of our platform to more Marriott properties moving forward and continuing to go deeper in the enterprise segment.  Another way our product is unlocking the ability to go deeper into the TAM and better serve all restaurant stakeholders is by expanding support to the numerous restaurant service models. In our last Voice of the Restaurant Industry survey, restaurants reported they are managing seven service models on average, including catering. And last week, we announced the launch of Toast Catering & Events, a new product fully integrated with the Toast point of sale to help restaurants seamlessly manage large catering orders and event planning.  It incorporates order tracking, initial quotes, and helps with contracts. And once booked, events get integrated to calendars and orders are fed directly to the kitchen at the right time. The product also creates invoices and allows for direct digital payment through Toast. This builds on the invoicing product that we announced last October and bolsters our ability to more deeply serve parts of the TAM as we estimate over 60% of SMB restaurants offer catering, in addition to their on-premise business.  Other product enhancements we've recently made includes the launch of our next generation digital ordering suite. Since we first introduced online ordering in 2014, we facilitated more than 250 million commission free orders for our customers. Based on customer input, our enhanced digital ordering suite offers a mobile optimize design, search engine optimized menus, and website customization capabilities.  In addition, we've updated the checkout experience to improve conversion. These efforts are targeted to help customers increase sales and build and maintain direct relationships with their guests. However, we made a mistake in how we approach monetizing the value of this suite. Listening to our customers is a core ethos for how we operate, and our day-to-day efforts are guided by a relentless focus on being the restaurant community's trusted partner. It was on this basis and after extensive constructive discussions with our customers that we decided to remove the $0.99 consumer-facing feed from Toast Digital Ordering Channels.  As we continue to innovate with new products and further strengthen the value we provide customers, we are well-positioned to monetize our offering, commensurate with that value. We will be more thoughtful on how we address pricing, going forward, and we recognize the importance of considering the impact to all stakeholders as we do that. We remain committed to the same high level of transparency and partnership with customers that we've always delivered.  To wrap up, I want to thank our customers and employees. Our mission to empower the restaurant community to delight their guests, do what they love and thrive, guides our efforts and underpins our strategy. We raise the bar in the first half of the year, driving record-location additions, launching new products and service models to move deeper into all aspects of the TAM, and delivering on our goal of adjusted EBITDA profitability.  In short, the Toast platform is resonating with customers. We have momentum across all segments, and we're still in the early stages of tapping the massive opportunity to be the restaurant industries trusted technology partner. We're confident that continuing to execute on our strategy and mission will generate significant long-term value for our customers, our community and our shareholders.  Now, I'll turn the call over to Aman, to discuss our go-to-market performance. 
Aman Narang: Thank you, Chris, and good afternoon everyone. First off, I'm really proud of the team's performance in the quarter. We added 7,500 net-restaurant locations, exceeding our prior quarterly record by over 1,000 locations. Our local go-to-market approach continues to drive sustained momentum in our SMB segment, which as many of you know is core to our growth.  As we're in the markets longer and the average tenure of our accounting executive team growth, we benefit from higher inbound volume, increased wind rates, and higher rep productivity, which drives market penetration.  This important trend continues to hold in our SMB business as we gain share and acts as a flywheel to drive efficient growth. We're also excited about our progress up market, the strong quarter in our mid-market segment, and as Chris mentioned, the recent announcement of Marriott to help us break into enterprise.  As I look back at the quarter, we're really pleased with where our go-to-market funnel and book location stand, as well as the team's focus to continuously improve our onboarding processes to both bring customers live faster and set them up for success. Let me spend a few minutes highlighting a couple of customer wins from the quarter that speak to our progress. In our SMB segment, Tempo Urban Bistro is a full service restaurant outside of Phoenix that will leverage the breath of our platform, implementing nine different modules across all of our product pillars.  This includes our Toast Go handhelds in their Dining Rooms, Kitchen Displaces System to streamline kitchen operations, Toast Tables to manage reservations, Mobile Order and Pay to streamline front-of-house service, and loyalty gift cards and email marketing to turn guests into regulars. In addition, Tempo will use Toast Payroll and xtraCHEF to optimize back-of-house operations. Tempo has planned to open three or four more restaurants and is excited to grow with toast.  Switching to mid-market, the Ninety Nine Restaurant & Pub in partnership with its service provider, Restaurant Growth Services, will implement Toast across more than 90 locations in the Northeast. Serving more than 20 million guests annually, the Ninety Nine was attracted to toast because they saw the opportunity to more efficiently manage both front-of-house and back-of-house operations with our platform. Across the brand, they plan to use Toast Go handheld devices, Kitchen Display Systems, and POS terminals to enhance the guest and staff experience. Additionally, their back-office team will use their API integrations and multi-location management module to better centralize menu updates and visibility into their operations.  Moving to our international markets, Canada, Ireland, and the UK, we are very encouraged by the early customer feedback. Customers love the core capabilities that help streamline restaurant operations, and our R&D team is hard at work listening to our customers and making more of our platform capabilities available to them.  One great example is our partnership with Arcade in the U.K. After successfully implementing Toast at its first location in Centre Point in London, Arcade is adding Toast to its new Battersea location and two food trucks. With 13 cuisines under one roof under the iconic power station, Arcade Battersea will follow the same model as the first location and implement the Toast platform across the entire food hall operation and use our kitchen display system in all the kitchens.  In addition to our POS terminals, servers will use handhelds to help facilitate more orders and drive additional revenue and a better guest experience. Arcade is also leveraging our API integrations across several key partners. As we scale the number of restaurant locations, our upsell team has more opportunity to help our customers expand their relationship with Toast. For perspective, among locations with more than 10,000 in SaaS ARPUs, about half of them exceed that threshold of 10K after adding products to our upsell team in Toast Shop, which is our e-commerce platform for existing customers. This dual upsell motion with both a sales team and a self-service e-commerce channel, provide a holistic offering for customers depending on their needs.  Let me highlight one customer story that illustrates how our upsell team partners with customers to expand how they leverage Toast. Slab BBQ & Beer, a multi-location barbecue joint in Austin, Texas, joined Toast in 2019. Slab initially started with our POS and online ordering to boost sales through COVID.  Since 2019, Slab has expanded to four locations and added Sling and Toast Parallel and Team Management to our upsell team. They credit Toast with streamlining operations and time savings thanks to centralized reporting and our back-office capabilities to manage menus, sales, and employees. On the heels of Slab BBQ's growth with Toast, its SaaS ARR across all locations has grown by more than 10x since becoming a customer. This is a great example that shows when our customers grow, we grow.  To wrap, as I mentioned at the start, I'm incredibly proud of our team's performance in this quarter. As we scale and grow market share and continue to invest in our restaurant platform, we are well-positioned to drive durable ARR growth, both through locations and ARPU over time.  Thanks. I'm now hand it off to Elena next to go through our quarter in more detail. 
Elena Gomez : Thanks, Aman, and thank you everyone for joining. I also want to give a special thank you to the entire Toast team. Your dedication and your continued execution resulted in another great quarter with results above expectations.  We delivered strong top-line growth in Q2 and passed the $1 billion mark in ARR, while at the same time demonstrating our ability to consistently drive efficiency across our business. This marks our sixth consecutive quarter of adjusted EBITDA margin improvement and led to our first quarter of positive adjusted EBITDA and free cash flow in two years.  The top-line momentum is a testament to the value proposition of our industry-leading software and payments platform. We're still at the early stages of this significant opportunity to lead the restaurant industry's digital transformation, and you'll see us continue to balance growth and efficiency as we scale to drive durable top and bottom-line growth.  Our go-to-market teams are continuing to execute quarter after quarter. Q2 was a record for net location growth with more than 7,500 net ads ahead of our expectations. As a reminder, Q2 is our seasonally strongest quarter of the year, and we typically see lower quarterly net ads in the second half each year.  Given our strong pipeline, continued momentum penetrating segments, and go-to-market execution, we are raising our expectations for quarterly net ads to be about 6,500 in the second half of the year.  While we've taken a handful of Marriott locations live, it's still early. It was not a meaningful contributor in Q2, and is not a major factor in our increased expectations for the remainder of the year as we expect to book and take Marriott locations live over time.  Moving to financial results. Total revenue grew 45% year-over-year to $978 million in the second quarter. ARR, which is our core operational metric increased 45% year-over-year due to growth in both locations and ARPU, as the power of our integrated solution resonates with our customers. Total ARPU, which as a reminder, we look at on an ARR basis, was over 12K in the quarter, driven by double digit year-over-year gains in SaaS ARPU.  As Chris discussed, we recently rolled back the consumer fee for our digital ordering channels. Our platform provides customer significant value and we're committed to continue to innovate to further strengthen that value proposition. We're confident we can monetize a value we provide and expect measured pricing adjustments to contribute to ARPU growth over time.  Moving to FinTech Solutions, on a year-over-year basis, second quarter revenue grew 44% to $808 million, gross profit was up 55% to $177 million and GPV increased 38% to $32.1 billion. Average annualized GPV per-processing location was up 1% year-over-year and 7% sequentially.  GPV trends remain stable and in line with our seasonal expectations and looking ahead, we anticipate GPV growth to moderate given the seasonality of GPV and the moderating tailwind from inflation.  Our nonpayment FinTech products led by Toast Capital contributed approximately $32 million of gross profit in Q2 as we continue to see healthy demand. Defaults for Toast Capital came in slightly below expectations, contributing to bad debt associated with Toast Capital, which we recognize within G&A expense declining relative to the first quarter. As a reminder, our unique position with both historical and real-time access to POS data allows us to monitor the health of restaurants and prudently balance risk, while helping our customers grow with fast, flexible access to capital.  Net take rate was 55 basis points, core payments net take rate was flat year-of-year and other FinTech products contributed 10 basis points. Looking ahead, consistent with prior years, we expect the mix of credit to seasonally increase, which will weigh on the core net take rate as a year of progresses.  In Q2, total gross profit grew 80% year-of-year to $225 million, resulting in a gross margin of 23%. Looking at our recurring stream, subscription and FentTech gross profit total $267 million in the second quarter up 58% year-of-over year.  Turning to our customer acquisitions costs, hardware revenue increased year-of-year due to both strong location ads and existing customers adding more hardware ahead of peak season. Hardware margins improved, primarily benefiting from lower shipping costs on a year-over-year basis. On the sales and marketing side, expenses increased 33% year-of-year as we lapped the investments made to scale the sales team. We continue to grow both in our new business and upsell sales team in a targeted manner, while remaining focused on scaling unit economics and supporting sustained go-to-market momentum.  Shifting R&D, our disciplined investment approach is delivering continued product innovation, including our recent launch of Toast Catering & Events. This offering builds off of our influencing product and is a good example of how our products and help customers simplify their workflows, improved guest interactions and drive additional transaction volume through Toast.  In Q2, G&A expenses increased 33% year-over-year. Bad debt and credit related expenses totaled to $15 million in Q2, with the reserves related to Toast Capital representing the majority of the expense. Excluding bad debt and credit related expenses, G&A grew 10% year-over-year and we expect to see continued leverage as we remain focused on efficiencies and managing headcount.  Told Q2 adjusted EBITDA was $15 million and margin was 1.5%, delivering on our goal of adjusted EBITDA profitability. This performance was a function of our sustained top line growth and cost discipline as we scale the business.  As I mentioned earlier, gross profit from our recurring streams, FinTech and Subscription grew 58% year-over-year and adjusted EBITDA margin relative to our recurring streams was 5.6%. As a reminder, these two metrics are the basis for how we calculate Rule of 40, and the combination of the two was 64%, marking the fifth consecutive quarter we exceeded the Rule of 40.  Free cash flow was $39 million in the quarter, marking the first time we had positive quarterly free cash flow since becoming a public company. This was a result of positive adjusted EBITDA in the quarter and a benefit from working capital, primarily related to the growth in GPV.  Looking ahead, we expect some seasonality in working capital quarter-to-quarter tied to GPV trends and the timing of certain payments, but over time, we anticipate free cash flow should largely follow a similar trajectory as adjusted EBITDA trends.  Now, let me turn to guidance. For the third quarter, we expect revenue to be in the range of $1.01 billion to $1.04 billion, representing 36% year-over-year growth at the midpoint. Adjusted EBITDA is expected to be in the range of $15 million to $25 million, representing approximately 50 basis points of sequential margin improvement at the midpoint.  Following our solid first-half performance, we are increasing our full-year guidance and now expect full-year revenue to be in the range of $3.81 billion to $3.87 billion, a 41% year-over-year increase at the midpoint. Our updated full-year adjusted EBITDA guidance range is $15 million to $35 million, as we now expect to be profitable on an adjusted EBITDA basis for the full year.  In closing, we finished the first half of 2023 with tremendous momentum, driving record location growth and adjusted EBITDA profitability and positive free cash flow in Q2. We are well-positioned to sustain that momentum and capitalize on the massive market opportunity ahead, as the restaurant community's trusted partner while driving durable ARR growth and creating long-term shareholder value.  Thanks again to our customer base for your trust, and thanks to the Toast team for another quarter of strong execution. Now, I'll turn the call over to the operator to begin the Q&A. 
Operator: [Operator Instructions]. Your first question comes from the line of Tien-tsin Huang with JP Morgan. Your line is now open. 
Tien-tsin Huang: Hi. Great. Thanks for taking my question. Good afternoon to all of you. So, thanks for going through everything. Growth seems great here. I'd love to just ask if you don't mind, on the $0.99 fee and the lessons learned, I guess is really the question that I have from implementing that and the withdrawal. I'm sure you spoke to a lot of your clients, and Chris, you mentioned stakeholders and meeting those expectations as well. So can you comment on lessons learned? 
Chris Comparato: Yes, thanks, Tien-tsin. It's a good question. I'm going to actually give a bit of background on this, because some of you may also have similar questions. So for background, we had made significant upgrades as I mentioned in my script, to our online ordering products, which actually allowed for increased guest conversion and better consumer discovery. We had actually communicated and tested multiple packaging and pricing approaches over the course of the past year, some which were similar to the fees that several of our competitors employ.  As we expanded the rollout more broadly, several customers voiced pretty constructive feedback. One thing I love about our customer base is that they tell us exactly how they feel about everything; the good, the bad, and the ugly. And upon that feedback, we quickly recognized that we made a mistake, mainly about how we approached the price change, basically the pricing structure change, and the impact to their guests.  At the end of the day, while this is what I'd call somewhat of a foot-fault on one module, this does not have an impact on our ability to leverage packaging and pricing over time. Our customers understand that the products and innovation require investment, and they consistently tell us that they are willing to pay for value.  So from a lesson learned standpoint, we learned a lot from this. And there's more questions we're going to ask ourselves internally when we execute these types of pricing changes or structural changes moving forward.  For example, what is the impact on every stakeholder? Often, we talked about the flywheel between happy employees, happy guests and happy restaurants. So just asking the right questions on how it affects our key stakeholders is core to our mission, and our mission is rooted in being the trusted partner to the restaurant community.  So we've learned quite a bit. I actually think it's going to make us stronger in the future as we leverage packaging and pricing. But quite a few lessons learned, but pretty confident in our stance to leverage things moving forward, but good question. 
Tien-tsin : Yes, that's a tough answer, and learning through adversity is a good thing. If you don't mind, just a quick follow-up. It sounds like your location expectation is still quite upbeat for the second half. So it sounds like you feel still, this is good. You did 90 days ago around a location growth. I just wanted to make sure I caught that correctly. Thank you. 
Aman Narang: That’s right Tien-tsin. Look, I think as I mentioned my script, really proud of the team's execution. Really feel good about our pipeline or our bookings. As I've talked about in previous calls, one of the biggest drivers for growth for Toast is market density, the number of customers in the market, as well as the tenure of our reps. it’s really a tailwind for growth and it’s something we control. The more restaurants we get in the market, it acts as a flywheel for us in terms of everything from top of funnel, to win rates to productivity and we feel really good about our outlook for the second half of the year. 
Operator: Our next question is from Jason Kupferberg with Bank of America. Your line is now open. 
Jason Kupferberg: Thank you, guys. Yes, nice numbers here. I wanted to stay on the net adds topic for a minute. You raised the outlook there for the second half. And just wondering, any particular region or any part of the customer base driving that. It doesn't sound like you put much in there for Marriott. So just any additional color on what's driving the higher outlook. Thanks. 
Aman Narang: Yes, so great question. As I mentioned, I think this is really a story of just our core business in SMB outperforming. I think the team executed really well in the first half, and let's say the pipeline booking that I just mentioned is a great shape.  I think we're all starting to – some of the work we've done just after that, broadening our TAM, getting into QSRs, getting into hotels has been helpful as well for the team. I think a lot of this also goes back to our vertical focus on restaurants as being a key differentiator. As you pointed out, like it's not about, we’re really thrilled about the Marriott partnership. That is not what is driving the outlook in the second half of the year. 
Jason Kupferberg: For sure, for sure. So speaking of Marriott, can you just talk a little bit about that the go-to-market motion there, the way you're going to address that opportunity, what kind of sales cycles and kind of competitive dynamics are you expecting there. And I think you're going to market with FreedomPay, the payment side. If you can just talk through all that. Thanks. 
Chris Comparato: Sure. Yes, no great question. So let me zoom out just a little bit. So over the past few years, as we've talked about on these calls, we've made incremental investments in our enterprise platform, and this work really underscores our ability to open up the new opportunities and expand our TAM. Not just for Marriott, but for mid-market and enterprise in general.  Some of the work including our work on hotel APIs, our work on integrations in general, and our work on above-store configuration and reporting has given us a more confident stance in going after the enterprise segment.  In terms of the type of go-to market, it's a different structure than SMB. These are longer sales cycles. These are a little bit more targeted deals. We're often in a pilot and in a lab and then in terms of the competition, we think it's relatively Greenfield in terms of the enterprise opportunity. There's still quite a bit of legacy upmarket and we started to record certain wins. I mean, certainly we've announced Marriott and this allows us to be an approved vendor at Marriott. It's still very early days at Marriott, but when we think about some of the other wins across enterprise, Aman mentioned Ninety Nine Restaurant, we had also won Wetzel's Pretzels, which is 300-plus locations. I had already announced last quarter Golden Krust, which is north of 100 locations. And then we also won Philly Pretzel, which is 170 locations.  So our team is picking up momentum. They are more confident in their stance to go after the enterprise market. It's a relatively small team, but they're doing really good work to execute on this TAM expansion.  With regard to FreedomPay, you had mentioned that in your question. Listen, like I said, it's still early with Marriott, but the FreedomPay partnership really gives us a lot of flexibility to work with a certain segment of enterprise customers upmarket and further opens up the enterprise TAM.  You know, there's really two important things to leave you with on FreedomPay. Number one, it allows us to flexibly work with these enterprise customers who often have unique payment requirements. They are looking to solve payments across spa, hotel, restaurants, across these diverse businesses. So number one, it opens up some TAM and gives us some flexibility to work with these larger customers.  And then number two, often these large enterprise customers are locked into long-term contracts for both POS as well as payments. This allows us to have flexibility to go after them for POS and software, and we can partner with FreedomPay on those deals. And it just puts us in a stronger position of flexibility for the largest section of enterprise customers.  That being said, you're probably going to ask the question, well, what does this do for our core business? And listen, in our core business, both SMB, as well as regional and mid-market, this doesn't change our integrated platform between POS and payments. We continue to go to market quite well on the combined platform, and Toast Payments will always be an option. So I'll leave it there. 
Jason Kupferberg: Thanks. 
Operator: Our next question is from Josh Baer with Morgan Stanley. Your line is now open. 
Josh Baer : Great. Thanks for the question, and congrats on a strong quarter. I was hoping you could talk a little bit about visibility as far as location additions. We're now talking about 13,000 to add in the back half of the year. I guess, like any context for how to think about how much you have to go out and win and go live in the next five months versus what's either already won or already in implementation or going live from previous wins? 
Chris Comparato: Yes. Hey, Josh. Look, I think we don't guide to the booked location specifically, but I think the trends we're seeing, as I mentioned in terms of bookings and pipeline are consistent with what we've seen in the past, and the team's got a lot of confidence in their ability to continue to execute as they have been.  And I think, the strength that we saw in the first half of the year really is consistent with the strength that we've seen really over the past couple of years in our core SMB business, where as we get into markets deeper, we've talked about this in the past, we get more customer density, our rep tenure is increasing. Those are the things that are driving our productivity.  I think one other thing that the team is thinking about, just to give some color on that, is we're trying to balance, and we talked about this last quarter, what the team lands with an initial sales versus how they expand. And so the team is really trying to maximize the number of locations on the platform, while also booking as much of the platform up front. And that’s a balance where we're trying to maximize win rate and location ads, right, with the ARPU on these deals that we're booking.  And so overall, I think, look at the highest level. We feel really good about the outlook for the second half of the year. 
Josh Baer : Okay, great. And then just one more on locations. I was hoping you could comment a little bit more on international and how that's either contributed in the quarter or in the outlook for the back half. Thank you. 
Elena Gomez: Yes, I'll take that Josh. So we're really pleased, and Aman mentioned this on his script, we're really pleased with the signal we're seeing internationally. The customer feedback is really positive. And just for everyone's knowledge, we're taking customers live in Dublin, U.K., and Canada. And so far, even though we're in the early days, it's not impacting our location adds materially this year, so you should know that. But like I said, the progress is really strong. And what we've been focused on is really building out the go-to-market team.  We're starting to see very similar patterns in the early days of Toast in the U.S., and so that's a good signal for us. We know that playbook. And as Aman mentioned, we're focused on expanding the platform so we can get more of it in the hands of our international customers.  But in the end, if we zoom out, just think about what we're – our ambition around international is really to drive the same loyalty, the same flywheel markets, and replicate that internationally, which is why we're so encouraged by that. So overall, really good progress, but it's not going to be a material contributor to our results this year and to the location growth that we're talking about.
Josh Baer : Great. Thank you. 
Operator: Our next question is from Will Nance with Goldman Sachs. Your line is now open. 
Will Nance: Hey, guys. I appreciate you taking the question. Elena, I was hoping to follow up on the subscription ARPU guidance that you gave a couple quarters ago. If I look at ARR per location, I think it was up somewhere at 13%, 14% year-over-year this quarter, so it does seem like you're on that glide path to the 10% year-over-year for some amounts that you guided too. But I guess the base of locations is going to end up being a lot higher than what we thought was when you gave the initial guidance.  I am wondering if you could talk about the interplay between the accelerated location growth and the ARR per location guidance. And I guess you mentioned doing a little bit less on the upfront sale, and more on the upsell motion. Is there some interplay between some of the slowdown we’ve seen in ARR per location growth and the acceleration in net adds? And I guess as we get all of these locations up and running, would you expect that something like an upsell motion could lead to a re-acceleration in software ARR per location growth in maybe the years ahead? 
Elena Gomez: Yes, thanks. There's a lot in that question. So let me start by saying, we're really pleased with the ARR growth at 55% in the quarter, and you're exactly right in that. We're balancing and Aman sort of mentioned this already, we're balancing our location growth with SaaS, ARPU up front.  Our SaaS ARPU grew 14% year-over-year, but the fundamentals, underlying fundamentals on SaaS ARPU and to your question, are we still thriving to that 10% ARPU on an ARR basis? Yes, that's our goal. The fundamentals are strong as we've mentioned.  We had a step up in ARPU over the last couple of years, hence the moderation this year, so just keep that in mind. And we're going to continue to build on this upsell motion and on this land and expand motion that we keep talking about. But to the point, our North Star is really ARR growth and that was a healthy 55% this quarter. 
Will Nance : Got it, I appreciate you taking my question. And on the Marriott, I'm just wondering if you could talk through kind of ARPU dynamics as you move up market. For instance, I know you’re partnering with FreedomPay on some of these deals. As those come in, do you see a higher contribution of software and is there more potential for software ARPU to kind of balance out the lack of payments in these deals or any kind of payments revenue stream, kind of ancillary coming from Freedom. Just any color, how you think about ARPU dynamics on markets? 
Elena Gomez: Yes, that’s a fair question. So we're really looking at – first of all I would just start with, we always think about our ARPU and payback periods, always play a role regardless of the segment that we're in. But just by the nature of them being enterprise customers, the ARR will be larger over time. But then we're going to come back to, even if we don't have the payment dynamics in this deal, we're going to focus back on payback periods and unit economics, and we have an opportunity to continue to grow that ARPU over time on the SaaS side. But we're really encouraged by what we're saying, and it's early days to really have an exact precision on that ARPU, but we anticipate that it will follow the same unit economics that we do for our entire business. 
Will Nance : Got it. I appreciate you taking the questions and nice job on the customer acquisition acceleration. 
Chris Comparato: Thank you. 
Operator: Our next question is from Dan Dolev with Mizuho. Your line is now open.
Dan Dolev : Hey guys, really strong results, congrats. Just, my question is on the $0.99 fee. I know your competitors are very aggressive, obviously following that issue, and we've seen them advertise different promotions to try to get customers. Has there been any – you know obviously results, strong results speak for themselves, and net adds are super strong. But has there been any kind of conversations with merchants that you didn't have before regarding some sort of an attrition following the $0.99 fee. Thank you. 
Chris Comparato: Yes Dan, good question. No, the answer is no. I mean, as you know it's always been a hybrid competitive space for the past decade. Competition is always throwing campaigns and targets against Toast. But with regard to the $0.99 fee, there's been no churn or impact to location adds and we're in execution mode in our core business and the competitive dynamics in our opinion remain the same. Our win rates look good and we're just plowing forward on execution. 
Dan Dolev : Got it, thank you. A quick follow-up and sorry if it was already addressed, I was in a different call. But can you give us a sense for SaaS ARPU for the second half, and I apologize if it's already been addressed. Thank you. 
Elena Gomez : So it has been, but I'm happy to repeat for you, Dan. So you know Q2 SaaS ARR grew 55%. I say that every time, because that's really our North Star metric and in Q2 it grew 14%, but overall we're still driving to the 10% ARPU as we exit 2023 and that's on an ARR basis just as a reminder.  But the fundamentals are strong, our underlying trends are strong. And as we – as a reminder, what I mentioned is, we mentioned that the last two years we've seen a step up in ARPU and we anticipated that it would moderate as the year progresses. So we're still driving towards that 10% ARPU on our ARR basis at the exit of the year. 
Dan Dolev : Great. Thank you and apologies for being redundant. Thank you. 
Operator: Our next question is from Stephen Sheldon with William Blair. Your line is now open. 
Stephen Sheldon : Hey, thanks for taking my questions and nice results here. I wanted to ask about the catering expansion, well it’s really good to see, and just kind of what that could mean in terms of additional monetization. Would this be kind of another SaaS subscription revenue opportunity to think about adding on ordering, invoicing, or is it more about just supporting more throughput and for the monetization to really come from facilitating additional GPV on the payments side. I guess how should we be thinking about catering monetization? 
Chris Comparato: Hey Stephen, two things. Number one, it does come with healthy ARPU. So it does add another lever to drive ARPU growth over time similar to what Elena talked about. But then on the invoicing front, certainly is going to run on our rails and that's the second component, but it's healthy on both fronts.  I think the one thing I love about our customer base as I mentioned is, they tell us what they like and what they are missing. And for this one, it's another good example of going deeper into the TAM. And specifically for our core business or core SMB business, when 60% of SMB restaurants are offering catering, they are often doing it through manual processes or point solutions, and they tell us that an integrated platform is just better.  So it's still early. We're very much early in the life cycle of this product, but we're excited about the long-term opportunity for this product, because it's going to make the customer's life a lot easier, and then it's going to help us on the ARPU front? 
Stephen Sheldon : Got it. That's very helpful. And then a follow-up and to a more high level. Great to see the kind of profitability inflexion point. So how do you think about letting profitability ramp here versus reinvesting back into the variety of strategic initiatives you have underway, especially with given some of the momentum you have right now. How are you thinking about it? 
Elena Gomez: Yes, it's a great question. It's going to be quite balanced. I think that obviously running lean and efficient is how we work and how we make decisions every day. But as we, as I said on my script, we've got a massive opportunity ahead and we're early in our TAM and have a ton of opportunity to upsell as we grow and innovate more and so we have to have that balancing act.  I would point to our guidance for the near term and then point you to our long term guidance that we give a couple of quarters ago, and that's on a recurring FinTech and gross profit. So we'll be balancing both growth and profitability over time. But we certainly want to lean into this momentum we have, especially as we exit 2023. 
Stephen Sheldon : Great, thank you. 
Operator: Our next question is from Timothy Chiodo with Credit Suisse. Your line is now open. 
Timothy Chiodo: Great, thank you. I wanted to talk a little bit about the mix of your growth adds. You mentioned a few of the larger chains, 100 units, etc., Philly Pretzel and others. Has that created any – a little bit of a mix shift towards competitive takeaways relative to brand new formed locations within your overall growth adds? And then I have a brief follow-up on payments rev share.
Chris Comparato: Hey Tim, yes. Just look I think at the highest level, the mix that we see between the opening and existing restaurants has largely remained consistent. We certainly do well when the new restaurants are opening up. But we also do – our team is able to get existing restaurants tours that are using a current system where there's legacy or cloud to switch over to Toast.  I think that there's to your question about as the – have seen more success of market in mid-market, that has been fundamentally changed I’d say, the mix of new opening versus existing restaurants. 
Timothy Chiodo: Okay, thank you. I appreciate that. And the follow-up relates to the potential for revenue share. So clearly you have the FreedomPay integration and some of the enterprise customers, either currently or in the future, will have the decoupled payments through a third-party provider.  I'm sure in many cases as you mentioned, there's already an existing relationship there, but is there any economics at all that Toast might be earning either via FreedomPay or the other processor or any other payments revenue share that we should think of? That’s potentially… 
Elena Gomez: Yes, so I won't get into the specifics of our FreedomPay deal, but it's not meaningful. I would think of it as a SaaS ARPU play for that specific Marriott deal. To Chris's point earlier, though, he did mention there will be times, and we already have this for enterprise customers, do want to leverage us for both. So I wouldn't take FreedomPay and extrapolate it to our entire enterprise book, because that's not where we are today. 
Timothy Chiodo: Okay, great. Thank you. 
Operator: Our next question is from Samad Samana with Jefferies. Your line is now open. 
Samad Samana : Hi, good afternoon and congrats on the strong quarter. Maybe first Elena, one for you. Just as I think about both the inflection and EBITDA margin this quarter and the change in OpEx, it's actually quite modest in terms of dollar OpEx growth, despite the upside of the top line. So I'm just curious, should we think about that as a good proxy for how sales and marketing R&D dollars should maybe grow for the next couple of quarters going forward. And is that what's allowing the leverage? Just that and I have a follow up question as well. 
Elena Gomez: Yes, I think the leverage we are going to see Samad is really across the business and we've shown leverage across all of the OpEx lines for the last several quarters. So I would point you to our guidance for the – obviously without me getting into specifics on the quarter. And I would also point you to the fact that in Q4 there is a little bit of seasonality at play in our payment side of the business. So that'll have a different complexion, say than in Q3. But we expect to continue to drive leverage across all of the OpEx lines for the balance of the year. 
Samad Samana : Okay, great. And then maybe just a follow-up on pricing. It's been mentioned a couple of times about the $0.99 fee, and maybe how the company will think about its philosophy on that. I just want some clarification. There's no assumption on a price increase based into at least the outlook for the rest of the year, right? And I guess when we think about price increase, should we think about that based on the comments that you've given? Should we anticipate one at some point in the near future? 
Elena Gomez: Yes, let me zoom out a little bit. So first of all, obviously our guidance reflects the change to the EP [ph] that was not included, you know it's no longer in our 2023. But just zooming out, definitely pricing is a core element of our strategy over time. As we think about the next several years, we think about two dimensions, right, one is growth and one is profitability.  When we consider growth, we have the two axis we always talk about, which is location growth, we're early in the TAM. We have ARPU, our ability to cross-sell and up-sell, which we have proof points so we're continuing to hone that land and expand motion. On top of that we have pricing, which is a key tenet of our strategy over time. So that's really what's driving how we think about the growth in our business. I wouldn't over-rotate the pricing, but it is a key element of our strategy that we're contemplating. 
Samad Samana : Great. Thanks Elena. Good to be working with you again. 
Elena Gomez: Thanks, Samad. 
Operator: Our last question comes from the line of Peter Heckmann with DA Davidson. Your line is now open. 
Peter Heckmann: Hi, thanks for taking the question. Could you go over a little bit more on Toast Capital and your aspirations for that business? First, if you could just get some of the data you typically give on a quarterly basis, like funding, and if you go through some of the reserve data again. But as you think about that business, I mean I think it's generating something like 15% of gross profit today. I guess, do you feel it's appropriate to limit the contribution of that business given that in a different macroeconomic environment you might have to pull back on that? 
Elena Gomez: Yes, I mean let me start. Let me zoom out and just start with the premise of why Toast Capital. And then, we did have great performance this quarter on Toast Capital. It contributed about 10 basis points to our overall take rate. But at the core, we know our restaurants are under-banked and we want to give them an opportunity to have access to capital in a fast and flexible way.  And the proof points we have is not only do we continue to see demand from new customers, but we're also seeing demand from existing customers coming back and renewing their loans. And our default rates have been, for the most part, in line and are better than we expected. So in terms of how we think about, are we going to grow this program? For the near term, I think we're going to continue to stay kind of in the zone that we've been in. But it's really important to remember how we manage the risk, because that is what's giving us the confidence to continue to extend loans.  One is we look at internal and external. We sort of look at it holistically. What are the internal factors we're seeing? What are some of the external factors we're seeing? And as a reminder, we have access to the payment data, which gives us a lot of confidence in the credit worthiness of the customer.  And then we partner with a bank to offer the loan. So the loans are coming off of their balance sheet. So it's balance sheet light for us. And our liability is really capped at 15% of the origination. And then we make the collections based on the payment volume daily. So we have a lot of confidence in visibility into the collection. And to your point, if the macro were to change or the environment were to change, then we’ll have levers to sort of manage that. We could tighten our lending parameters. We can reduce duration, which has an impact on bad debt.  So there's a few different levers that we can play with should we need to kind of scale back on the program. And actually, we did scale back on the program during COVID, in the early days where we said this might not be the time and we were able to successfully manage the bad debt during that time. And now we've seen demand come back and as we've relaunched the program and relaunched different loan sizes, etc., we've seen a healthy demand. So I feel very confident we've got a great team managing the risk of this business. And more importantly, we're helping our customers scale and grow.
Peter Heckmann : All right. That's helpful. Thank you. 
Operator: This concludes today's conference call. You may now disconnect your line. 
Chris Comparato : All right. Thank you.